Operator: Welcome to the Acorda Therapeutics Second Quarter 2013 Financial Results Conference Call. [Operator Instructions] Please be advised that this call is being taped at the company's request. Now, I'd like to introduce you to your host for today's call, Tierney Saccavino, Senior Vice President of Corporate Communications at Acorda Therapeutics. Please go ahead.
Tierney Saccavino: Good morning, everyone, and welcome. With me today are Dr. Ron Cohen, our President and Chief Executive Officer; and David Lawrence, our Chief Financial Officer. Before we begin, let me remind you that this presentation includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts, regarding management's expectations, beliefs, goals, plans and prospects, should be considered forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially, including our ability to successfully market and sell AMPYRA in the U.S. Third-party payers including governmental agencies may not reimburse for the use of AMPYRA or our other products at acceptable rates or at all and may impose restrictive prior authorization requirements that limit or block prescriptions. The risk of unfavorable results from future studies of AMPYRA or from our research and development programs including Diazepam Nasal Spray and any other acquired or in-licensed programs. We may not be able to complete development of or -- a complete development of obtain regulatory approval for or successfully market Diazepam Nasal Spray or other products under development. The occurrence of adverse safety events with our product, delays in obtaining or failure to obtain regulatory approval of or to successfully market AMPYRA outside the U.S. and our dependence on our collaboration partner Biogen Idec in connection therewith; competition, including the impact of generic competition on ZANAFLEX CAPSULES revenues; failure to protect our intellectual property to defend against the intellectual property claims of others; or to obtain third party intellectual property licenses needed for the commercialization of our products. Failure to comply with regulatory requirements could result in adverse action by regulatory agencies and the ability to obtain additional financing to support our operations. These and other risks are described in greater detail in Acorda Therapeutics filings with the Securities and Exchange Commission. Acorda may not actually achieve the goals or plans described in its forward-looking statements and investors should not place undue reliance on these statements. Forward-looking statements made in this presentation are made only as of the date hereof, and Acorda disclaims any intent or obligation to update any forward-looking statements as a result of developments occurring after the date of our presentation. I'll now turn the call over to our CEO, Dr. Ron Cohen.
Ron Cohen: Thanks, Tierney. Good morning, everyone. On today's call, I'll be providing an update of AMPYRA's second quarter sales, I'll discuss our product development programs, and then I'll cover our business development initiatives, and Dave will provide the financials for the quarter. We'll then take your questions. Beginning with AMPYRA. As we projected last quarter, net sales for the second quarter showed strong recovery from the first quarter net revenue at $77.8 million versus $62.3 million. The quarterly net revenue patterns are uneven and we don't expect to see the same rate of quarter-over-quarter growth for the rest of the year. We are reiterating our 2013 guidance of $285 million to $315 million in AMPYRA net sales. We're pleased with the impact of our marketing programs including First Step and Step Together. These have continued to gain traction with physicians and patients and the recent launches of the new oral disease modifying agents for MS have created both challenges and opportunities. The key challenge has been to maintain share of voice. To do so, we continue to provide new informational materials to the sales force and online to engage physicians and patients and their care partners. We've also refined our online marketing programs, which have been driving substantial traffic to our websites. We believe these programs are helping us to take advantage of the opportunity provided by the new patients coming back to their physician's offices, as a result of the publicity around the new oral agents. Our commercial team has done an excellent job of maintaining virtually universal awareness among our target neurologists and we've also seen marked improvement this year in both patient and caregiver awareness of the result we believe of our consumer awareness programs. Moving to our pipeline, which we believe is one of the most interesting in the neurology space, we've added 2 additional products since our last update, Qutenza and NP-1998 and I'll detail those more later. In addition to our 3 marketed products, 5 of our products, including AMPYRA are in clinical stage and a 6th, Diazepam Nasal Spray, is expected to have an NDA filed this year. Regarding AMPYRA and post stroke deficits, we're planning to move forward with the Phase II-B / III study that will use a once daily formulation of dalfampridine or QD formulation in post stroke deficits. We've developed the formulation. We have completed a single-dose PK study, which showed the desired pharmacokinetic profile and we're now going to run a steady-state PK study this year to finalize the validation of the formulation. The QD formulation offers several potential benefits including the potential for improved patient experience and the ability to evaluate several dosage strengths of dalfampridine in the post stroke population. A new formulation may also allow for additional patent opportunities. We plan to discuss the study design and development plan with the FDA and we're aiming to have that meeting before the end of the year. We anticipate initiating the trial in the second quarter of 2014 with the caveat, of course, that we'll need to assess results from the PK study and have FDA feedback on the trial design before then. We anticipate both safety and efficacy measures to be included in an adequate well-controlled trial that will also include measures to assess clinical meaningfulness. The primary outcome will be a walking measure. Note that this will not necessarily be the Timed 25-Foot Walk. This will be subject to the results of our discussion with the FDA and we'll be able to provide more information after we've met with them and the trial design is finalized. We expect the trial size to be roughly comparable to that of our Phase III MS trials provided that the FDA agrees with our proposed design and with any chronic therapy, FDA typically requires at least 3 months on drug during the trial. Moving to our other products. The most advanced of the pipeline products is Diazepam Nasal Spray. This is a potentially important contribution to the care of people with epilepsy who suffer from periodic clusters of seizures despite being on optimized medication regiments. We expect to file an NDA this year with a potential launch in 2014. We've received orphan drug designation and that would confer 7 years of market exclusivity from the date of approval. Our team is preparing for the launch, conducting market research, holding advisory boards, competing manage market assessments and other launch readiness activities. With regard to AMPYRA in cerebral palsy, we've not yet made a final decision on whether to move forward with this program. We're continuing to evaluate it. We are close to completing the study protocol for our second clinical trial of GGF2 in heart failure patients and expect to begin enrolling participants later this year. Recall that our first safety study also showed encouraged -- encouraging efficacy signals. The Phase I trial of rHIgM22, a remyelinating antibody for MS was initiated in April. This is a 60-patient study. It's enrolling people with any type of MS, including progressive types, to evaluate safety and tolerability. However, we have several exploratory efficacy measures also included in the trial. And with regard to our Phase II trial of AC105 for neuroprotection in acute spinal cord injury, several study sites are now online and ready to begin enrolling study participants. Moving to business development, we're focused on adding commercial and late-stage products to our pipeline and to that end, we are pleased to bring in one of each through our recent deal with NeurogesX Inc. We acquired 2 neuropathic pain management products, Qutenza and NP-1998. Qutenza is an FDA-approved medication for the management of neuropathic pain associated with postherpetic neuralgia, it's also known as post-shingles nerve pain. NP-1998 is a Phase III ready therapy that may have potential in the development -- excuse me, in the treatment of neuropathic pain of various origins, including painful diabetic neuropathy. There are limited therapeutic options available now to treat neuropathic pain, which is a terrible often burning, chronic pain the patient suffer from and cannot get relief from. We see an opportunity for a nonsystemic medication such as Qutenza and particularly NP-1998 that can be used either alone or actually in combination with other oral therapies that are currently available. The deal closed in July and will be accounted for in the third quarter financial statements. Qutenza will be supported by our existing commercial infrastructure. This product hasn't had much traction in the marketplace in part due to limited promotion. So we're viewing this as a product relaunch. In addition to generating revenue, Qutenza will enable our commercial team to establish a presence among neuropathic pain specialists as we begin to evaluate further development of NP-1998. NP-1998 as I have mentioned, may have potential in treatment for multiple forms in neuropathic pain. And to that end, Astellas Pharmaceutical Europe, which has rights to Qutenza in the EU and other markets is currently conducting a clinical trial of Qutenza in painful diabetic neuropathy. That trial is expected to be finalized or to finish in early 2014. And although they're different products, Qutenza is a patch. NP-1998 is a direct application. They both contain the same active ingredient, capsaicin. So the results of the Astellas Qutenza trial will help inform our next steps in developing NP-1998. I'll now turn over the call to Dave who will review the financials. Dave?
David Lawrence: Thank you, Ron. AMPYRA net revenue for the second quarter of 2013 was $77.8 million compared to $66.3 million for the same quarter in 2012. Nanoflex net revenue from capsule and tablet sales were $1.2 million for the second quarter of 2013 and revenue from the sale of authorized generic capsules to Actavis were $1.1 million. AMPYRA royalty revenue from sales outside of the U.S. were $2.2 million for the second quarter of 2013 and royalties from Actavis for sales of authorized generic to [indiscernible] capsules were $2.5 million. Total operating expenses including $6.5 million in share-based compensation expense for the quarter ended June 30, 2013 were $78.3 million compared to $70.6 million, including $5.6 million in share-based compensation expense for the same quarter in 2012. The increase in operating expenses are related to the overall growth of the organization to support AMPYRA, to support the possible commercialization of Diazepam Nasal Spray and to support these development of our pipeline products. We continue to maintain a strong financial position with cash, cash equivalents and investments totaling $332.4 million. I'll now turn the call back over to Ron.
Ron Cohen: Thanks, Dave. So to summarize, the underlying demand for AMPYRA remains strong. We're reiterating our 2013 AMPYRA guidance. We're continuing to advance the pipeline, and we're planning to initiate a Phase II-B / III clinical trial of AMPYRA in post stroke in the second quarter of '14 using a once daily formulation. In addition, Diazepam Nasal Spray is on track for an NDA filing this year and GGF2, rHIgM22 and AC105 are advancing in their clinical development. Our acquisition of Qutenza and NP-1998 as a commercial product for our sales force to promote, as well as a Phase III ready compound to our pipeline and we're continuing to evaluate additional opportunities that leverage the company's commercial and development strengths, particularly in that neurology. And with that, we will open up the call for your questions. Operator?
Operator: [Operator Instructions] We have our first question would come from the line of Mark Schoenebaum from ISI Group.
Salim Syed - ISI Group Inc., Research Division: Salim here for Mark. Just a few questions. On the responder analysis. Can you give us your thoughts you think you'll be able to get that for the stroke. And then on fallibility of the data, Phase II-B/III...
Ron Cohen: I'm sorry hold on a second, Salim, we're having a little trouble hearing. Hold on a second. [Technical Difficulty]
Salim Syed - ISI Group Inc., Research Division: So can you just comment on responder analysis if you think you'll be able to get that again for the post stroke. And then on fallibility of the data, will you think you'll be able to follow on this Phase IIb / III data alone when it comes out or will you need a confirmatory trial? And then just on once daily in MS, now that you have this formulation, what are the plans around using this in MS, I guess?
Ron Cohen: Okay I don't know that I can give you much clarity on those right now. Again, we don't like to front run conversations with the FDA. We have a plan in mind and obviously, we think it's a good plan. We need to discuss it with FDA make sure that they buy into it. So I'm not going to comment now as to whether we have a responder analysis or other details of the trial design, but we are proposing it to FDA in a way that we think will expedite the development and we'll have to wait until we have those conversations. Take any feedback they might have that requires us to adjust our plan. We'll do that. And then we can talk about it. And then with regard to the QD in MS, again, that's something that is speculative right now. We'd like to take, first things first, which is to get this into development for stroke and then make decisions about where else it might apply beyond that. With regard to the number of trials, we generally assume that FDA requires 2 adequate well-controlled trials to approve new indications. There are exceptions to that depending -- we're going to discuss all of that with them. And hopefully, will have more clarity after we have that meeting.
Operator: Next question comes from Joel Sendek from Stifel.
Joel D. Sendek - Stifel, Nicolaus & Co., Inc., Research Division: So I guess a follow-on to that. Did -- when you're -- when you gave your guidance for the second quarter, next year to start, is that -- do you have enough buffer time to have the meetings with the FDA and make any adjustments or is that a relatively tight time frame? And then a follow-on from the last question. If you in fact, do need to do 2 adequately well-controlled trials, could you possibly do those in parallel as opposed to in sequence?
Ron Cohen: Yes. So the projection of Q2 is based on what we think are reasonable timelines. The key toggles there if you will, are to compete the steady-state PK study of the QD formulation on time and successfully, and we believe we certainly have the time to do that. We believe, based on the data we have already, that it should be successful. But of course, until you do it, you never know if you're going to have a low probability event. But we're assuming that that's going to be successful. And then obviously, we're assuming that our meeting with FDA will go well and that we're able to proceed with the finalized design. At some reasonable interval after that meeting even if they require some adjustments to the design. Now, again, if that changes, we'll let people know, but we think it's a reasonable timeline. I'm sorry, you asked me a second...
Joel D. Sendek - Stifel, Nicolaus & Co., Inc., Research Division: Yes. The second just has to do with -- presumably they'll give you guidance whether you needed to another study...
Ron Cohen: Right, right, yes. So that's something we're going to discuss with them. Yes, theoretically, you could do the trials in parallel. There are other ways of doing it so that they are maybe not starting in parallel. There are other ways to do it so that you might have the ability to do a trial. And then before you finish the next trial, begin another trial. So they are quasi-parallel. We're -- we have a specific idea in mind and we're going to discuss it with the FDA. Once we've discussed it with them and make sure it passes muster, then we can talk to you in more detail about it.
Operator: Next question comes from Michael Yee from RBC Capital partners.
Charmaine Chan - RBC Capital Markets, LLC, Research Division: This is Charmaine on for Mike. So my question is have you had an opportunity to look at the sensory motor function and extremity analysis from the post stroke data and if you have, does that give you any clue as to what types of patients you would like to enroll in the Phase IIb / III?
Ron Cohen: Okay, I'm not quite sure what you mean by having a chance to look at the sensorimotor data. We've looked at all the data in the trial. And we have looked at -- to the extent that you could look at subsets of patients and see whether there was a distinguishing or differentiating factor where you could predict in advance, patients who are more likely to respond to the drug. We have looked at that on every measure that we could think of, that we have available to us and we don't find, and this is similar to the MS situation, we have not found a differentiating factor that would say, well, yes, we have to take this type of stroke patient and not that type. So as before and as with MS, it's a case where you have to try it on all comers who might get the benefit. Meaning people who in this case have a walking deficit. And then see if they respond.
Charmaine Chan - RBC Capital Markets, LLC, Research Division: Got it Ron. So if I may sneak one more in. You mentioned dosage. So in Phase IIb / III, would you try multiple dosages in this trial?
Ron Cohen: Potentially. I'm going to leave it at that. But QD gives us the ability if we want to examine more than one dose, obviously, and there maybe advantages to doing that. I'm going to leave it at that for now until we finish our conversations with FDA.
Operator: Next question comes from Yaron Werber from Citi.
Kumaraguru Raja: This is Kumar in for Yaron. So on favorable policy what other analysis needs to be done before you can make a decision? And also on the date and balance data, how do you think it's going to impact the update? Do you need to add it to the label or does it already has an impact to the physician?
Ron Cohen: Okay, on the first part of your question, we have -- it was a very small study. So we have analyzed that study and it's really more a question for us of looking at the overall considerations in moving forward with the program. There was a signal or there were signals, I should say, in that study but there are other considerations before investing or making major investments in the development program. So we are just assessing a number of different factors. Not all of them are specific to the data of that trial to see whether it makes sense to move forward with a cerebral palsy program. So I would leave that where it is. Now, I'm not quite sure I understood your second question about gait and balance and the label. Could you clarify that for me?
Kumaraguru Raja: You guys have some data on gait and balance, so I was -- I wanted to know how it will impact our [indiscernible]
Ron Cohen: Okay, which data are you referring to? For the stroke trial, the CP trial? MS?
Kumaraguru Raja: This is for the MS.
Ron Cohen: Yes. We don't anticipate. I think you're talking about the results of an investigator initiated study that was published or that was presented at a meeting, is that correct?
Kumaraguru Raja: Yes, that's right.
Ron Cohen: Right. We don't anticipate that at least we have no indication at this point that, that's going to affect the label.
Kumaraguru Raja: If I may sneak in, what's the timing for getting data for rHIgM22.
Tierney Saccavino: RHIgM22.
Ron Cohen: We have not projected that yet. So when -- I can't speak to it at the moment.
Operator: Your next question comes from Geoffrey Meacham from JPMorgan.
Ron Cohen: Hold on Geoff, hold on just a second. Yes, I was just checking some information. With regard to the rHIgM22 trial, I think if you look at clinicaltrials.gov, you'll see a projected date of completion for that trial. And I believe it's somewhere middle to second half of '14, but I just don't have it in my head. So but if you check it, you'll find it.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: Are you ready now?
Ron Cohen: Yes, please. Sorry Geoff.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: Okay. All right...
Ron Cohen: Hey Geoff, you mind if I answer another question before...
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: When you're ready. So I know a lot of folks have been asking about post stroke deficits based on your U.S. discussions or discussions with the FDA. Just curious if you guys had I know [indiscernible] obviously, runs Europe for MS, but have you guys had any discussions with EMEA or any regulators across the world in terms of looking at this opportunity on a global basis? Obviously, it won't be just exclusively a U.S. opportunity. And then have you looked at all about the size of the market opportunity outside the U.S. for post stroke?
Ron Cohen: Yes, so we at ACOR quarter, we have been focused primarily on U.S. so far. So we have not done specific work on ex-U.S. Although, we believe it's reasonable to follow the usual rule of thumb, which is that ex-U.S. is probably something on the order of equivalent to U.S. But again, that would need to be tested in research. Biogen as you noted, has the rights to ex-U.S. for all indications. They have the right specifically to opt in for any new indications and that opt in can occur at various time points and depending on the time points. There are various terms that are associated with that. So this is right now, this would be a question that Biogen would be deliberating, and over time, we'll see where that lands.
Geoffrey C. Meacham - JP Morgan Chase & Co, Research Division: And then just a follow-up, I know when you -- before you released data on post stroke or cerebral palsy you had been talking about looking at a number of indications. Is there anything else that you looked at as a potential for AMPYRA outside of these 3, just by virtue of having the Timed 25-Foot Walk distance benefit?
Ron Cohen: There are a number -- I don't have the exact number in my head, but we have a number of investigator initiated studies that are going on where investigators have proposed other indications that they wanted to explore and that -- Andy Blight is here with us, he's Chief Scientific Officer. Do you remember some of the other indications that people are looking at? I know someone's looking at Parkinsons.
Andrew R. Blight: Transverse myelitis.
Ron Cohen: Transverse myelitis is another one that's being looked at. So the short answer is there are other indications that are in exploratory mode and obviously, if we were to see a signal, we would take it from there and see whether it was worth investing in.
Operator: Your next question comes from David Amsellem from Piper Jaffray.
Rebecca M. Forest - Piper Jaffray Companies, Research Division: It's Rebecca Forest for David. Do you expect cost associated with Qutenza and NP-1998 to be meaningful in 2013?
Ron Cohen: No, we don't. Not for the rest of this year.
Operator: Next question comes from Phil Nadeau from Cowen and Company.
Philip Nadeau - Cowen and Company, LLC, Research Division: First, around a couple on the QD formulation. Could you give us some sense of what technology you used to produce the QD formulation and whether patent applications have been filed on the formulation or the technology more generally?
Ron Cohen: Yes. So we're not discussing publicly the specifics of the formulation. It was developed in collaboration with an outside group that's an expert of this sort of thing. You can safely assume that anything that we develop, including formulations that we believe deserve or qualify for patent protection, that we are filing and will file patents on those.
Philip Nadeau - Cowen and Company, LLC, Research Division: Okay.
Ron Cohen: And also, just as patentically [ph], we have already filed patents long since related to the stroke data that we generated originally in the animal studies and then anything subsequent to that.
Philip Nadeau - Cowen and Company, LLC, Research Division: Okay. Ask another question you won't answer on the QD formulation. It does seem like the seizure risk for [indiscernible] is associated with peak concentrations rather than area under the curve. So I'm assuming you have a nice, smooth profile for the QD formulation, but could you just confirm that, that there's no spike in concentration any point of the day?
Ron Cohen: I'm just going to shock you here and say yes, I can confirm that. That was one of our criteria for developing an acceptable formulation.
Philip Nadeau - Cowen and Company, LLC, Research Division: And just 2 quick questions. First on AMPYRA inventories. Can you give us a sense where they stand now as you entered Q3?
Ron Cohen: Inventories have normalized since the first quarter when we had the issue.
Philip Nadeau - Cowen and Company, LLC, Research Division: And then last, do you have any visibility on the publication and presentation of any of the ongoing investigator initiated studies for AMPYRA and other indications? Have any of those investigators communicated to you what they're going to do with the data?
Ron Cohen: There's so many of them, I don't have it in my head. I know, for example, the one that was referred to earlier was presented at a meeting on-- some of these no doubt will be published, but I just don't have that on my fingertips.
Operator: Next question comes from Bill Tanner from Lazard Capital Markets.
William Tanner - Lazard Capital Markets LLC, Research Division: A couple of them, Ron, for you, just on the diazepam program. Could you speak to what the incremental commercial effort would need to be and how leverageable the current infrastructures is? And then I have a follow-up.
Ron Cohen: Yes, we think it's very leverageable. We would not anticipate a significant increase in, for example, sales force. What it -- we work to the extent that we have been analyzing that, we've been analyzing the likely prescribing physicians versus our current call list. We do have some nice overlap there already. And to the extent that we don't, we would simply reassign target offices within the territories that we have already. So we do not anticipate a significant increase in sales force based on the Diazepam Nasal Spray.
William Tanner - Lazard Capital Markets LLC, Research Division: Could you give us a sense then of either the current sales effort or the expanded sales effort, something on the order of the number of physicians that might be being detailed or the deciles that can be...
Ron Cohen: Yes, I -- not yet, it's premature. We just have more work to do.
William Tanner - Lazard Capital Markets LLC, Research Division: Okay, and then as it relates to the Qutenza program, you commented that there was an impediment to traction because of lack of promotion and we use to cover NeurogesX and I think part of the difficulty with the product was the need to pre-treat. So as we think about the basket of assets, is it reasonable to assume that one could actually grow Qutenza or do you think this is going to really transition more into 1998 story. And then can you remind us where we are on kind of the risk profile of that product?
Ron Cohen: Yes. Well so, the product of most interest to us in the deal was in fact, the 1998 product. We like the fact that Qutenza came along with it. We do think there's incremental revenue to be had there. The issue you mentioned is a real issue out there with that product. We're looking -- we're coming up the learning curve as fast as possible on that, looking at ways that we might, in essence, relaunch it out there and ways in which it might get more traction, because the biggest virtue of the product is that it works. It's a very good product for patients who are not getting relief from their pain. So we will work to make the best of that product. We think we can certainly do better than it's been doing once we put in the hands of our sales force. But the real focus is going to be on -- or I should say, the majority of the focus is going to be on 1998 and seeing whether we can address even larger unmet needs, as I mentioned like painful diabetic neuropathy. There are other types of painful neuropathies that are sizable, compared to, for example, postherpetic neuralgia. And one of the other things we liked a lot about the deal was that we -- in essence it came with an option to turn over the card on the Astellas diabetic neuropathy trial and that should be coming in the first part of '14. That's with the Qutenza patch. But we believe that, that would be a very reasonable read through to the 1998 product. So we're eager to see that result.
Operator: I'd now like to turn the call back to Dr. Cohan for closing remarks.
Ron Cohen: That concludes our call. Thanks for joining us everyone and have a great weekend.
Operator: Thank you. Ladies and gentlemen, that concludes your call for today. You may now disconnect. Thank you for joining and have a good day.